Operator: Good morning and welcome to the General Dynamics First Quarter 2020 Earnings Conference Call. All participants will be in a listen-only mode.  After today's presentation, there will be an opportunity to ask questions.  Please note, this event is being recorded. I'd now like to turn the conference over to Howard Rubel, Vice President of Investor Relations. Please go ahead.
Howard Rubel: Thank you, Chad and good morning, everyone. Welcome to the General Dynamics' first quarter 2020 conference call. Any forward-looking statements made today represent our estimates regarding the company's outlook. These estimates are subject to some risks and uncertainty. Additional information regarding these factors is contained in the company's 10-K, 10-Q and 8-K filings.
Phebe Novakovic: Thank you, Howard. Before I address the company's performance in the quarter, let me take a moment to discuss General Dynamics' response to COVID-19 and its impact on us. We've been designated a national critical infrastructure company and as such are required to continue full operations, which we have done. I am proud of our patriotic employees who have continued to work hard to fulfill their mission in support of our armed forces as we face this crises together. Our men and women in uniform continue to serve and we must as well. Ensuring a safe work environment for our workforce has been and remains our top priority. We have 39,000 employees tele-working from home unfortunately our large manufacturing sites cannot do that. At these sites, we follow CDC recommended guidelines and practice social distancing where possible. We have increased shift work and the use of PPE. We are conducting temperature screening where feasible. As additional screening and ultimately testing become available, we will aggressively implement those as well. Our leadership teams have been and will continue to be in the workplace leading our people. This is early in the COVID-19 crisis and its impact on our business. So far we've experienced some deterioration in efficiency driven by absenteeism at a couple of our facilities. We expect absenteeism to decline as we see the rate of infection slow. We're also incurring rather significant cost to sanitize the work environment in our facilities and to provide additional PPE. We've also seen definite weaknesses in the supply chain particularly with respect to some of Gulfstream suppliers. Gulfstream is working closely with the suppliers who have also been hurt by the disruptions of the commercial airplane OEMs. Hopefully, we can sort our way through these issues, but some of them are difficult. The Department of Defense is accelerating payment to us to support the defense industrial base. We believe that this will prove to be very helpful. Regarding the company's first quarter performance, as you can discern from our press release, we reported earnings of $2.43 per diluted share on revenue of $8.75 billion and operating earnings of $941 million and net income of $706 million. Revenue was down $512 million or 5.5% against the first quarter last year. Operating earnings were down $73 million or 7.2% and net earnings were down only $39 million or 5.2%.
Jason Aiken: Thank you, Phebe and good morning. The first thing I would like to note is a key accomplishment on the financing front in the quarter. In anticipation of the pending maturity of $2.5 billion of notes in May of this year and given the extreme volatility we've seen in the markets since the outbreak of the pandemic we issued $4 billion of fixed-rate notes in late March at very attractive rates. While this financing was part of our planning pre-COVID-19, the additional liquidity enhances our financial flexibility during the pandemic, particularly in light of the fact that our free cash flow is weighted toward the second half of the year. To that point, our free cash flow in the quarter was negative $851 million. The cash performance in the quarter was impacted by the COVID-19 outbreak most notably at Gulfstream due to delayed customer payments associated with the net 11 airplanes we weren’t able to deliver. As Phebe noted, customer orders were also postponed in the last two weeks of the quarter. On the defense side, we've seen accelerated payments coming from some of our customers starting in the month of April in the form of increased progress payment rates and other contract mechanism, but we've passed those monies on to our suppliers to help sustain our supply base. In fact as of last week, we had received approximately $55 million in accelerated payments from our customers and advanced almost $300 million to our suppliers on an accelerated basis. After all this we ended the first quarter with a cash balance of $5.3 billion and a net debt position of $12.7 billion down slightly from this time last year. Our net interest expense in the quarter was $107 million down from $117 million in the first quarter of 2019 on a lower average outstanding commercial paper balance. But for the year, we're revising our interest forecast up to approximately $490 million to reflect the additional borrowing I discussed earlier. Q2 will be the peak interest expense for the year. As Phebe noted, we had ample liquidity including $5 billion in lines of credit which we renewed during the first quarter and we expect the outstanding debt balance to come down over the next couple of quarters as we repay the $2.5 billion maturing in May as well as our commercial paper balance. On the capital deployment front, capital expenditures of $185 million in the quarter were consistent with year ago. We expect CapEx for the year to be down somewhat from our original forecast as we manage that spend in light of the circumstances but still in the range of 2.5% of sales on a reduced sales number. In the quarter we paid $295 million in dividends and spent $500 million on the repurchase of 3.4 million of our shares. This covers the dilution from stock option exercises the we were unable to address last year due to cash constraints plus the anticipated dilution for the current year. For the year we now expect free cash flow to be in the range of 80% to 85% of net income versus the 85% to 90% we previously forecasted, reflecting the reductions in Gulfstream aircraft production and delivery rates, partially offset by the reduced capital expenditures, cost savings across the company and somewhat lower cash taxes. Speaking of taxes, our effective tax rate was 16.7% for the quarter benefiting from several factors including lower international taxes and increased research and development tax credits. For the year we're lowering our anticipated tax rate from 17.5% to 17%. As Phebe mentioned in her remarks, we finished the quarter with total backlog of $85.7 billion, that's up 24% over this time last year and total potential contract value including options and ideology IDIQ contracts was $124 billion up 20% over the year ago quarter. And just one last thought for you as you consider the quarterly progression throughout the year. Obviously there's more uncertainty than we would normally have at this point in the year but as you might expect, we anticipate the second quarter being the low point in EPS in the range of $0.25 to $0.30 below the first quarter with a steady ramp in the second half to achieve the updated targets that Phebe discussed. Howard, that concludes my remarks and I'll turn it back over to you for the Q&A.
Howard Rubel: Thanks Jason. As a reminder we ask participants to ask one question and one follow-up, so that everyone has a chance to participate. Chad could you please remind participants how to enter the queue?
Operator: Thank you.  And our first question will come from Seth Seifman with JPMorgan. Please go ahead.
Seth Seifman: Hi. Good morning. Sorry I was on mute. So I realize this is probably very difficult given where we are in the unprecedented nature of the situation. I think the deliveries you talked about at Gulfstream this year coming out a backlog I think was probably fairly consistent with maybe where people thought and maybe even a bit better. As we look out beyond this year and we think about what might happen to the backlog as we move through the year and as you deliver out backlog, is there any way to kind of I don’t know if there any way to bound that or maybe any way to talk about some of the distinct aspects of this pressure that Gulfstream is seeing now versus periods of pressure in the past?
Phebe Novakovic: So let me address that in two parts. Our reduction in production this year was driven most exclusively by probations in the supply chain. Some of our suppliers entered this crisis somewhat impaired both from exposure to the commercial aviation market and some financial difficulties. The crisis exacerbated that and even before they saw hit, they were having some difficulty keeping up with our original production rate. So we took down production which we believe helps de-risk the current environment and frankly de-risks some of '21 if in fact we see weakening demand. But look with respect to this year's production you can only go as fast as your weakest link in your chain. So that's part one. Part two, which really I think teaming out a bit is how we demand in this environment. And as I think we eluded to we fully expect business aviation to recover in due course. The question is specific timing but this will again be a robust market for us and will lead with a strong portfolio of new products. If you think about it one of the outcomes that could occur as a result of this particular crisis is the business can ill afford to rely on those commercial airline providers who are either financially weak or unpredictable. So the fundamental case for business aviation remains the same if not somewhat strengthened by this crisis and frankly I think there is a case to be made that much will inert of business aviation as a result of this particular crisis. But there is an important reality I think for all of us to comprehend understand this market and that is in all markets up or down we have the distinct advantage in product, service and cost that leads the competition to compete only on price and availability.
Operator: The next question will come from Robert Stallard with Vertical Research. Please go ahead.
Robert Stallard: Phebe, I was wondering if you could comment on what you might seen in the shorter cycle business jet off the market and the FBOs this quarter and partly in April as well, whether this could be a lead indicator of where the demand environment is going.
Phebe Novakovic: Sure, I think is a particularly unusual environment and that it was worldwide and the fact that all human beings, not just particular sectors. So hence the imposition of travel restrictions both in the United States and elsewhere, that really drove our flying hours. So we saw a considerable decrease in the number of flying hours that we believe will resume when some of these -- some of the travel restrictions begin to ease and people are still a little bit safer in traveling. I'll tell you the loading at most of our service centers remains solid. We've implemented some rolling furloughs at a couple of our smaller sites, scheduling inspections and planned maintenance continue at a good pace but some of the discretionary work I think referred for avionics upgrades have fallen back a bit, but again once we resume normal or begin to approach normal flying cadence that we anticipate that some of this will likewise resolve.
Operator: And the next question will come from George Shapiro with Shapiro Research.
George Shapiro: One for Jason and then one for you Phebe. The one for Jason and maybe you mentioned but if you did, I missed it. If you can reconcile, you have in the back your gross orders and then if you just look at backlog, I guess that's a net number. Is the roughly $300 difference primarily cancellations, which you gave the list in the back there or what is it? And then for you Phebe, in terms of the expectation for deliveries for the year, I assume the second quarter is going to be a lot weaker than the rest of the year and also where the status of the Eisai certification for the 600, thanks?
Phebe Novakovic: Okay. Well, we had four defaults in the quarter. A chunk of those were not for 2020 airplanes. Their customers we expect to see back. With respect to the second quarter, I think deliveries will be stronger, but as you can imagine with the reduction in production we are taking cost out of our business and we'll have some charges around those particularly in any of the risk charges in the moment and so that could -- that depresses second quarter a bit. But deliveries could be we expect them to be higher once and depending on how fast and at what sequence and in what areas these travel restrictions lift. It's very hard if you think about it, it is we need those travel restrictions to kind of abate because people typically come to pick up their airplanes in Savanna or we fly -- we fly them elsewhere to effectually transfer and that's extremely difficult and kind of constrained environment. But as we see some of the rolling reopening both in the United States and outside the United States, we expect some of those deliveries to revolve nicely.
Operator: And our next question is from David Strauss with Barclays. Please go ahead.
David Strauss: Thanks. Good morning. Just Phebe one on the implied Gulfstream decremental margins, I think you took down revenue by about $1.5 billion and you EBIT expectation by about $400 million applying some more mid to high 20 decremental margins. How much of this is driven by just reduced productivity because of production issues, work related issues and supplier issues? The decremental margins are a bit higher than I thought we would see?
Phebe Novakovic: Some of that is based on efficiency particularly as we learn to optimize operating in a CDC driven environment, but some of it is also mix.
David Strauss: Okay. And then a follow up on capital deployment, obviously you have the debt pay down here in May. You guys deal with commercial paper, but how are you thinking about share repurchase in the current environment given maybe political headwinds to doing that versus where your stock price currently sits, thanks?
Phebe Novakovic: I think you're quite right to point out the political concerns, the concerns in the policy arena about stock buybacks but from my perspective in periods of great uncertainty and volatility, maintaining your liquidity and the strength of your balance sheet is key. So we're going to stay on stock repurchases at the moment.
Operator: Our next question comes from Carter Copeland with Melius Research. Please go ahead.
Carter Copeland: Phebe, I know each one of these downturns are demand flips in aerospace has its own sort of unique fingerprint and I wondered if you might just kind of help give us some color on what this one is like in terms of your customer conversation I would imagine that the big majority of your customers the Fortune 500 companies out there going through some sort of exercise on the timing of expenditures on aircraft when the tapping revolvers and what not. I just -- how does that discussion, how is that going and then how does that evolve in terms of the timing of those, what I would assume are continued purchases in the future, thanks.
Phebe Novakovic: So one of these elements that is distinctly different from the last time that we experienced in the 2008 timeframe, the great recession was that interest remains very active, whereas in the recession it simply stopped because of the impact on multiple key sectors. Here it's really been about more about simply timing. How soon does the economy reopen and how soon can we get travel restrictions back. So the conversations are continuing. That hasn’t stopped, but in terms of translating that activity into orders, some of that is going to take some time as we see how all of the reduction in travel restrictions as well as the stabilization in the economy occur, but we see this more as a question of timing in this environment. As of the moment the backlog is holding up very nicely, which results are distinctly different from the last time, but we're always mindful that if you have worldwide economic crises of the large economies that become really dire, backlog is an issue that we're going to have to follow very carefully and we're being very mindful. This is a company that has been through this kind of environment before albeit for very different reasons and manifesting itself at different ways.
Carter Copeland: And is it fair to characterize the decisions you will make from a production standpoint to get to the lower deliveries s temporary in nature whether it's furloughs or timing related, I guess are you protecting upside in your production capacity for when things return to normal? Is that the right way to think about what you're doing?
Phebe Novakovic: I think the right way to think about it is that when you have changes in your environment, you have to react fairly quickly, postulating the best possible outflow -- postulating the best as you can what various outcomes are like and what we have done is in the moment sized our production so that our supply chain can keep up with it, but also recognizing that it prepares us if in fact demand does increasingly weaken in next year to manage that risk as we'll. So I think we have found our risk as well as we possibly can in the moment, understanding where what we see.
Operator: The next question comes from Cai von Rumohr with Cowen. Please go ahead.
Cai von Rumohr: Thank you very much. So number of dealers we've talked to expect as you indicate the demand should pick up later in the year as kind of COVID impact abates, but one of the concerns they have is that basically there's been a weakening in terms of the preowned market. The pricing there is starting to erode and may go down and in particular with the G650 where you have a large install base that preowned G650s would compete with your production. Are you seeing or to what extent are you concerned about potential pricing pressures from the preowned market, thanks?
Phebe Novakovic: We have yet to see any. We done see any significant build up of like new preowned Gulfstream and we've seen no impact on price. That preowned inventory for each of our large cabin including the 650 is well below the market standard threshold. So at the moment, we either have a lot of preowned inventory in our house nor do we see that it is impacted our current demand, nor our current -- our current pricing. So this again is very different than what we saw in the 2008, 2009 timeframe. Preowned is simply not an issue in the moment.
Cai von Rumohr: Thanks so much and one follow-up would be can you give us an update on how you are doing G500, G600 production and the expectation or certification of the G700 in late 2021?
Phebe Novakovic: So let's go in reverse order the G700 continues to performance test -- it's test pattern. So we have about 100 hours under our belt and airplane is performing extremely well. The G500 and G600, of course are going to be some of the change in the production that we have set for the year, some the mix issue but the demand for both of those programs has been wholesome and is increasing. And I think George asked the question that I failed to answer on EASA, and you tease it that as well indirectly. EASA had been slowed by the impact of the MAX. And while I can't speak to them directly in terms of their timing, this has no doubt impacted them as well but we'll get through that and these airplanes, the more that they're in the market, the more people see exactly what these airplanes can do for them and they're pretty impressed.
Operator: The next question comes from Noah Poponak with Goldman Sachs. Please go ahead.
Noah Poponak: Phebe, is 100% of the Gulfstream delivery and revenue outlook reduction that you’ve made here today, is 100% of that from supply chain disruption and inability to fly to deliver airplane disruption and none of it from demand impact?
Phebe Novakovic: Really isn’t demand driven. I think I noted two factors a couple of times, but let me just reiterate as I think I've discussed some fulsome detail but supply chain, but we also have some efficiency issues within these plants within our assembly manufacturing plant as we learn to optimize production under the social distancing rules, additional PPE cleaning as shift work as we've increased the number of shifts. So as we began to optimize that over time in production environment, that will also allow us to mitigate any impacts from some of the inherent inefficiency there, but that was also an issue, but overwhelmingly the predominant issue here was the supply chain. And frankly as I said if you think about it in terms of you simply seen significantly weakening demand. We have done a nice job to de-risk some of '21 and I think that's where you could potentially see demand and one of the salutary benefits of the actions that we're taking today, do provide some risk mitigation for '21. So that's why I've said a couple times, we believe that we've founded our risk in all respects at the moment.
Noah Poponak: Have you seen any -- not just through Q1 but year to date, have you seen any cancellations or deferrals in the existing backlog?
Phebe Novakovic: Yeah I mentioned earlier, we had four and all of whom we have while three of whom we expect to come back but that is all that we've seen today and the backlog of how they're continuing to hold up very nicely. But we recognize that this will de-risk any additional impacts to the backlog, but so far we're not hearing noises coming out of the customer base and the backlog of any note at the moment.
Operator: Our next question is from Ron Epstein with Bank of America. Please go ahead.
Ron Epstein: Maybe changing gears a little bit to your navy business, the navy has accelerated its procurement of systems, I mean if you talk to the procurement leadership in the navy and they’ll tell you how they're very proud of the amount of work they put under contract in a short period of time. How are you seeing that in your naval business and how do you expect that to flow through the rest of the year?
Phebe Novakovic: So our navy procurement people have been really leaders and beacons of stability and foresight during this entire crisis. They have increased the velocity at which we've gotten contract awards, we particularly see that on the repair side. Our new ship construction is our large big contracts. I wouldn't expect to see any additional particular increase in velocity on those but we have on the shorter cycle businesses and they have been very, very supportive in understanding the need to undergird the defense industrial supply chain.
Ron Epstein: And then as one follow-on, you mentioned a couple times in your prepared remarks and even in some of the questions that you’ve got some concerns over the supply chain. How do you see that playing out particularly if you’ve got a smaller let's call it a mom-and-pop supplier who is largely commercial aerospace that don’t do much defense work and their supplying into Gulfstream? How are you trying to mitigate that risk?
Phebe Novakovic: So if you can imagine these are all sensitive negotiations. We're working closely with all. We know all of our challenge suppliers are at the moment, working closely with them to get -- to provide on-site mitigation and support where we can and ultimately if we have to bring it in house we will. But we have managed through this and will continue to do so, but there is risk here. It's not without the risk for reasons that I think you all can understand as well as we can.
Operator: Thank you. The next question comes from Jon Raviv with Citigroup. Please go ahead.
Jon Raviv: Turning to IT for a moment, any visibility or perspective on when we might see some of those nice backlog trends translate into growth when some of those items that you slide might dissipate. And then also can you talk about how IT is supporting the customer in the current environment and how it can be oriented to support new priorities coming out of the coronavirus crisis?
Phebe Novakovic: So one of the elements of GDIT is an enormous agility coupled with their customer intimacy. So as our customers adjust both on the defense Intel and federal civilian environments. We'll work very closely with them on new opportunities. I think one of the challenges is that our customer needs to get back up and in a regular cadence and regular order and that will then drive our ability to attend these sites. While many of our people can work from home. A lot of them have to be on site with the customer and so once the customer gets up in full bore operations, that will drive then additional revenue on our part but look these GDIT has had been very successful in winning additional business that ultimately begins to translate into revenue and profitable revenue at that. So I think we need to particularly on IT get everybody back and working and then have a sense if we have any timing issues from some incremental backed-up impact from the revenue side from just this a bit of a hiatus that some of our customers have taken. But they're positioned for good growth with their backlog. They had superb winning capture rates. So they fit very nicely and comfortably right now in their market space.
Jon Raviv: And just as a follow-up can you talk about how customer conversations in that business might be developing in the current environment where there might be more focus on this aggregated workforces further acceleration of the cloud, further IT monetization, larger implementation of CDC, NIH type work packages. So any sort of thinking about how the national priorities might shift or accelerate coming out of this.
Phebe Novakovic: I don’t know that we have seen anything that one could realistically discern a trend from. I think it's too early. As far as the distributed workforce I think that's way too early. I think we have to look at the efficiency metrics on how that actually plays out as they say a lot of our people need to be on customer sites. But we haven't seen a wholesale strategic or structural shift in the way that our customer is thinking about, either the cloud or its mission in a post COVID environment. I suspect naturally there will be some. Again as we think about how long do we keep social distancing, how long do we keep distancing, how long the integrated shifts and rolling shifts. So I think, some of that will play out, but so far I haven't seen a material of structural change in how our customer is thinking about their mission.
Howard Rubel: And then we have one final question, operator.
Operator: And that question will come from Sheila Kahyaoglu with Jefferies. Please go ahead.
Sheila Kahyaoglu: Jason, maybe this one is for you, given the free cash flow, can you revisit some of the dynamics of the 85% to 90% conversion in 2020 it seems the Canada payments are intact. So that's still about a $1 billion and what are other changes to working capital perhaps with either progress payments or inventories? Is it fair to assume that Gulfstream was may be $500 million or so of inventories in Q1 given you couldn’t deliver 11 aircrafts?
Jason Aiken: Sure. I think you’ve picked up on a number instantly on a number of the drivers here. The two $500 million payments on the Canadian program were inherent in our forecasts of those coming in is certainly welcome news to solidify that element of the outlook. When you think about the defense side of the business and some of the accelerated contract payments progress payment rates have moved from 80% to 90% and some other advance mechanisms we're seeing. As I mentioned most if not all of that is essentially flowing through to the supply chain. So that's really sort of a net pass when it comes to the outlook. So bottom line really when you think about the overall impact, it really is at Gulfstream and it's that portion of the production out or I should say the production rate down. When you think about it, we were expecting to start this year with sort of the inflection point on working through some of the inventory working capital at Gulfstream between the test airplane deliveries and getting 500 and 600 up to a more steady state production level with these production shifts that sort of pushes that out call it 6 to 12 months and so the inflection point on that working capital drawdown at Gulfstream will just push out some somewhat. So that's really the driver in the difference on the free cash flow conversion.
Phebe Novakovic: Thank you and Chad thank you and everyone else for being on this call today. As a reminder please refer to the General Dynamics' website for the first quarter earnings release and highlights presentation which contains our summary outlook. If you have any additional questions, I can be reached at 703-876-3117. Thank you.
Operator: The conference has not concluded. Thank you for attending today's presentation. You may now disconnect your line.